Operator: Good morning. My name is Sia, and I will be the conference operator today. At this time, I would like to welcome everyone to the Graphic Packaging Third Quarter Earnings Conference Call. [Operator Instructions]. Thank you.  At this time, I would like to turn the call over to Melanie Skijus, Vice President of Investor Relations. Please go ahead.
Melanie Skijus: Good morning, and welcome to Graphic Packaging Holding Company's conference call to discuss our third quarter 2019 results. Speaking on the call will be Mike Doss, the company's President and CEO; and Steve Scherger, Executive Vice President and CFO. To help you follow along with today's call, we have provided a slide presentation, which can be accessed on the Investors section of our website at www.graphickpkg.com.  I would like to remind everyone that statements of our expectations, plans, estimates and beliefs regarding future performance and events constitute forward-looking statements. Such statements are based on currently available information and are subject to various risks and uncertainties that can cause actual results to differ materially from the company's present expectations. Information regarding these risks and uncertainties is contained at the company's periodic filings with the Securities and Exchange Commission. Undue reliance should not be placed on forward-looking statements as such statements speak only as of the date on which they are made, and the company undertakes no obligation to update such statements, except as required by law.  Mike, I'll turn it over to you.
Michael Doss: Thank you, Melanie. Good morning, and thank you for joining us to discuss our third quarter 2019 results. Thank you as well to those of you who attended our Investor Day last month, either in person or on webcast. Our remarks today regarding future plans and expectations will be very consistent with those we provided to you last month.  Turning to the third quarter. We reported solid operating and financial results, with volume up 2.6% and net revenue up 3.3% on a year-over-year basis. Adjusted EBITDA of $244 million was at the high end of our expectations. Notably, we delivered organic growth in the quarter and are on track for 100 basis points of net organic volume growth for the second half of the year. The quarter benefited from $34 million of improved pricing. Importantly, our pricing to commodity input cost relationship was a positive $26 million in the third quarter and $67 million for the first 9 months of 2019, reflecting our pricing initiatives and modest inflation.  Steve will discuss our third quarter financial results in greater detail shortly, but favorable pricing in the quarter was offset by inflation, both commodity input cost as well as labor and benefits. In addition, and as expected, our results were impacted by the previously announced and planned extensive maintenance outage in our Texarkana SBS mill. As a result, adjusted EBITDA of $244 million declined from prior year period, that was at the high-end of our expectations, and we continue to expect to deliver approximately $1.03 billion in adjusted EBITDA for the full year. This reflects an increase of approximately 6% when compared to 2018, and is higher than our projections when we began the year.  Moving now to key operational trends in the quarter. Volume in our global paperboard packaging business was up 2.6% in the third quarter, driven by acquisitions and net organic volume growth in the quarter. We are capturing growth opportunities as customers shift into our innovative paperboard solutions. New product wins in foodservice, including insulated paperboard cups and bowls, new beverage categories and beverage packaging wins, to name a few, position our business for 100 basis points of net organic volume growth for the rest of the year and 100 to 200 basis points in 2020. I will talk more about new business we are capturing in a moment.  Our mills and converting assets ran well during the quarter. Work at the new Monroe converting facility continues as we approach full run rate. We are meeting the needs of our customers as we continue to enhance and optimize our mill and converting facility footprint.  The AF&PA reported Q3 2019 operating rates of 98% for CRB and 93% for SBS. Graphic Packaging CUK operating rate remains over 95%. Backlogs remain healthy -- remain healthy 5-plus weeks for CUK; 4 weeks for CRB; and 3 weeks for SBS. As you know, one of our key strategic priorities is to increase our integration rates. CRB and CUK mill operations are highly integrated with our converting platform today, and we are focused on driving integration rates higher across all 3 substrates over time. Our combined integration rate is currently 68%. As a reminder, we defined integration as paperboard tons we manufacture and convert at our facilities into products we sell to our end-use customers.  Shifting to performance. While overall productivity levels met expectations for the third quarter, net productivity was impacted by the planned extensive mill outage at Texarkana. Importantly, the completion of this large maintenance project, which included structural modifications to the recovery boiler, was completed on-time and on-budget. The work done is expected to yield long-term safety, efficiency and reliability improvements, and is reflective of our ongoing focus on productivity and operational efficiencies. Our business generates significant cash flow which provides us with flexibility to execute on our balanced approach to capital allocation. I will wrap up my prepared remarks with the discussion of capital allocation, while quickly touching on some of the initiatives we shared with you at our Investor Day in our Vision 2025.  Productivity-based margin improvements, a pivot towards organic volume growth, coupled with targeted acquisitions, are keys to our 2025 vision. A discussion of some of the new wins and product development initiatives will provide insight into the organic volume component of our vision and why we see 100 to 200 basis points of net organic volume growth in 2020. As we released late last week, AB InBev will be one of the first to commercialize our new KeelClip paperboard packaging solution for beverage cans beginning in the first quarter of 2020. Last quarter, we shared with you that customer interest in the KeelClip food and beverage solution remained very high, and we were building new packaging machinery for several large customers. We are excited that AB InBev has announced that its brands in the U.K. market will be the first to leverage KeelClip. We believe our innovative solution offers both sustainability advantage and merchandising benefits over other packaging alternatives and we expect demand for KeelClip to accelerate.  Another encouraging development for our business is the move within the foodservice market to paper-based packaging solutions to replace other alternatives. Customers are choosing Graphic Packaging for their conversion from foam and plastic cups and containers into insulated paperboard cups and containers. The previously announced Artistic Carton acquisition, which was completed in the third quarter, is an example of targeted acquisitions we will continue to pursue. With the acquisition, we added 2 converting plants located in Auburn, Indiana and Elgin, Illinois and 1 CRB mill in White Pigeon, Michigan. The transaction drives compelling optimization and growth opportunities for our paperboard mill and converting platforms in North America, including expansion and diversification into new end markets. Artistic serves several market verticals we weren't participating in before. This was a great acquisition and supports our priority to drive integration rates higher.  Finally, the $600 million transformative CRB platform investment in Kalamazoo, Michigan announced during the quarter will drive meaningful cost reduction and consolidation as we move from operating 5 CRB mills to 3. The capital we are investing in this project over the next 2 years will yield significant quality and cost benefits for years to come and positions us for long-term leadership in the coated recycled paperboard market. We continue to expect the new machine to be operational in early 2022.  With our strong balance sheet and cash flow model, we maintain the financial flexibility to continue to deploy a balanced capital approach to capital allocation. This was demonstrated in the third quarter of 2019 where we generated $187 million in cash flow, paid approximately $51 million for Artistic Carton acquisition, invested $72 million in capital projects and returned $79 million of capital to stakeholders.  With that, I'll turn the call over to Steve for a more detailed discussion of our financials. Steve?
Stephen Scherger: Thanks, Mike, and good morning. We reported third quarter earnings of $0.18 per diluted share, down compared to $0.30 in the third quarter 2018. Third quarter 2019 net income was negatively impacted by a net $5.3 million of special charges. Third quarter 2018 net income was positively impacted by a net $25.2 million with special charges and credits. Details can be found in the reconciliation of non-GAAP financial measures table attached to the earnings release. When adjusting for these charges and credits, adjusted net income for the third quarter was $57.4 million or $0.20 per diluted share. This compares to third quarter 2018 adjusted net income of $69.1 million or $0.22 per diluted share. Focusing on third quarter net sales. Revenue increased 3.3%, driven primarily by $34 million of higher pricing and $28 million of volume mix related to acquisitions and organic volume growth. These benefits were partially offset by $12 million of unfavorable foreign exchange. Turning to third quarter adjusted EBITDA. A $12 million decrease to $244 million was driven by $20 million of operating items, primarily the previously announced and planned extensive maintenance outage of the Texarkana Mill; $8 million of commodity input cost inflations, primarily wood; $12 million of other inflation, primarily labor and benefits; $3 million of unfavorable foreign exchange; and $3 million of volume mix. Importantly, these items were partially offset by a favorable $34 million in pricing during the quarter. Pricing will remain favorable in the fourth quarter, and as noted at our Investor Day, we expect pricing of approximately $120 million for the year.  In Q3, we repurchased $50 million of shares at values we estimate to be below of intrinsic value for Graphic Packaging. Over the last 12 months, we repurchased $248 million of shares, successfully reducing share count by a meaningful 6%. Since February 2015 when we began the repurchase program, we repurchased $538 million of shares, resulting in an 11% net reduction in shares outstanding at program inception. We ended the third quarter with roughly $1.5 billion of global liquidity and $2.9 billion of net debt. Total net debt decreased $52 million during the quarter. In the third quarter, we invested $72 million in capital expenditures, repurchased $50 million of shares, paid $23 million in dividends and made a $6 million distribution to our GPIP Partner. Third quarter pro forma net leverage ratio was 2.9x.  We remain committed to our long-term net leverage target of 2.5x to 3x and expect we will end the year with leverage of approximately 2.6x. There's no change in the 2019 adjusted EBITDA guidance of approximately $1.03 billion we provided at our Investor Day, representing 6% growth over 2018. We expect 2019 cash flow will be approximately $525 million. We also established an initial 2020 EBITDA range at our Investor Day from $1.04 billion to $1.1 billion. The remainder of our guidance for 2019 and our initial guidance for 2020 is included in the presentation on our website.  Thank you for your time this morning. I'll now turn the call back to Mike. Mike?
Michael Doss: Thanks, Steve. As outlined during our Investor Day last month, our Vision 2025 redefined leadership in our industry. We intend to continue to invest in our business to drive innovation, growth and productivity improvements, while delivering value to our stakeholders.  I'll now turn the call back to the operator for Q&A.
Operator: [Operator Instructions]. The first question will come from George Staphos with Bank of America.
George Staphos: Two questions for me to start. Mike, can you talk at all in terms of what you might be seeing in terms of potential growth opportunities in the CRB market, in light of, ultimately, the KZ PM3 coming up in a couple years? It's obvious why you'd be seeing more opportunities in some of the other grades, but curious to see what CRB is looking like in terms of perhaps new products? And are you seeing any related share shift away from paper? Have you lost anything in paper to plastic in the last couple of months? And I had a follow-on.
Michael Doss: Yes. Thanks, George, for that. Yes, as we talked about at our Investor Day, one of the things we're really excited about our investment in that new paper machine in Kalamazoo is going to be the actual quality that we're able to produce. It'll have the smoothest surface so that will provide opportunities for different types of emerging digital printing, which right now, on CRB, we're really not capable of providing. The other thing that it's going to have is a much wider range, profile range, from a caliper standpoint. We'll comfortably be able to go down and run 14 point as an example, but right now, we struggle with that. And so that's going to give us some opportunities to work on some new products for our customers for sure.  In regards to a shift -- material shifts out of paperboard and into plastic in the last few months, I mean none really come to mind that I can think of. We track that stuff pretty closely, as you know, George, and I'm not able to comment on anything specific there that I'm aware of.
George Staphos: Okay. I appreciate that. And my second question, and then I'll turn it over. When I look at the EBITDA bridge, the volume mix was a minus $3 million rounding up. It's not a big deal, obviously, and we're pleased to see the organic growth. But what was driving the price mix? I assume it is volume mix being negative given what looks to be a little bit better volume momentum for the company going forward.
Stephen Scherger: George, it's Steve. Yes, just with regards to that modest negative. Obviously, we've got positive net organic volume growth that's flowing through. We also have some positives relative to our acquisition. What's offsetting that modestly are 2 things: one, we do continue to see a little bit of negative mix flowing through the business, mostly focused around some of the erosion in kind of center of the stores, some of the more traditional applications, and we're working through that as we round out here at the end of the year. And also, we're on-boarding a lot of new business. A lot of what we're talking about is exciting and new, and we're ramping up relative to our margin profiles and the returns. So a little bit of negativity as we round out the end of this year. We should expect that the turn modestly positive, driven by the net organic volume growth as we round into 2020.
Operator: The next question is from Mark Wilde with Bank of Montréal.
Mark Wilde: I wondered, either Mike or Steve, if you can talk a little bit about kind of conditions over in Europe? And any changes you might be seeing in terms of behavior in front of Brexit?
Michael Doss: Yes. That's a great question. And as you know, the Brexit, it's almost like a daily thing right now in terms of where it stands relative to Parliament and how that's all playing out. So like you, we're watching pretty carefully. We have seen the pound strengthen a little bit. That's a good thing for us, obviously, on a translation basis. But in terms of overall demand, our demand has held up well in that market. And again, the majority of what we manufacture in the U.K. is consumed in the U.K. We're not exporting out of the U.K. and into mainland Europe or essentially Europe. So we're a little insulated in terms of what that profile looks like, and we'll be watching obviously here this week to see if, in fact, there is a vote in on the exit here at the end of October.
Stephen Scherger: And certainly, it hasn't had any impact on the momentum around sustainability-driven conversions and the like? That momentum has certainly just continued.
Michael Doss: Yes, and just to put a finer point on that. I mean you saw that ABM have actually announced that they're going to use our KeelClip in the U.K. to get out of Hi-Cone rings. So we see progress and opportunities for ourselves there.
Mark Wilde: Okay. Then just as a follow-on and kind of related to that sustainability issue, I see that there's a proposal over in Scotland of taxing single-serve cups, I'm wondering if you can talk about sort of how do you see that playing out? And again, Mike, just to kind of recap for us, where are you at in terms of your progress in improving recyclability on the paper cups?
Michael Doss: Yes, thanks for that, Mark. So yes, we saw that, and we see those from time to time. There's been some in certain counties and cities here, as you know, here in the U.S. as well. And what we've found, at least up to this point, has been our cup is -- the paper cup is appreciated by the end-use consumer, and demand for that has grown at the expense of foam. It is a single-use cup at the end of the day, but a lot of that stuff is sold to drive-throughs and takeouts out of the store. And so we're going to watch that carefully to see how that all going to play out. As you alluded to, I mean you're correct, our focus is really on how do we get to a solution that doesn't require PE coatings on the inside of our cups. We actually have a commercial solution today, that PLA that we outlined -- the PLA coating that we took all of you through at the Investor Day. And we continue to work very hard to ramp that up, and we expect to have a win on that year in 2020. We've got a couple customers that expressed interest in that, and we're working to bring those to commercial reality. So that's really how we're thinking that through, and that puts us in a situation in where from a sustainability standpoint, from an ESG standpoint, we've got even better story to tell than we do today.
Operator: The next question is from Mark Connelly with Stephens Inc.
Mark Connelly: Just two things. How should we think of 2019 maintenance? Should we think of this as an unusually high year given the big outage? Or is next year going to be similar? I appreciate you may not have estimates, just trying to put it into perspective.  And then second question, just following up on this price leakage issue. You mentioned last quarter that you've got a new price review group. But can you tell us how we should be thinking about progress that you might make? Is it going to come in more changes to contracts, or just tightening up the way you're negotiating? And are you looking to make meaningful progress or discrete progress? Just curious.
Michael Doss: Yes, thanks, Mark. I'll take the maintenance. I'll let Steve talk a little bit about what we're doing with -- in regards to pricing. In regards to maintenance, in 2020, as we mentioned in, I think, it was our second quarter call, we have a recovery boiler project that we're going to do in West Monroe. We'll do that in April of next year. It'll be similar to what you just saw in Texarkana. So we would expect that to be, on a year-over-year basis, not a pick up, if you will. It won't be more, but it won't be a pickup, per se. Once we're done with that particular project, based on what we know in the inspections we've done at all our recovery boilers. As you recall, we did a big project in Augusta last year; we did at Texarkana this year; next year, we've got West Monroe. And we believe it will be good for about the next decade in terms of major maintenance that needs to be done in our recovery boilers. So that would actually in fact see more of a pickup in 2021 is how I'll have you think about that. And with that, I'll let you comment a little bit on the pricing, Steve.
Stephen Scherger: Yes. You touched on it, Mark. We feel very good about the investment that we've made and additional pricing resources focused on locking down and eliminating leakage and tighter contract language and the like. And success has been a big part of why you've seen our positive pricing momentum this year. And what that gives us is some of the confidence we have. At this point, we have continuation of positive pricing momentum heading into 2020 as we continue to execute on our contracts or renew contracts and keep the terms and conditions good and tight. We'll provide more guidance on next year's pricing in January. But the investment has yielded very real and identifiable results. We track that at a, as you would expect, at a customer product level to ensure that we are in fact are holding onto the pricing that we've been executing in the market.
Michael Doss: The only thing I'd add to the pricing that we've talked about is we made a very strong commercial push to reduce our lag down to 6 months, which is a big change from where we were a year ago at this time. So that's been the other thing we've done in regards to pricing.
Operator: The next question is from Anthony Pettinari with Citi.
Anthony Pettinari: You've highlighted a number of growth opportunities in the slides and at the Analyst Day. And I'm just wondering, beyond the CapEx programs that you've outlined, are there investments on the SG&A side, maybe in people and processes, that you have to make to pursue these opportunities? And just culturally, can you talk about how you kind of go from being a company that has maybe been more focused on cost management and kind of a flat declining markets to an organization that can kind of capture some of these new opportunities?
Michael Doss: Yes. Thanks for that, Anthony. I mean we are making investments to do, in fact, exactly what you just talked about. I think your characterization is spot on. To that end, we're actually building out our talent acquisition and management group. As I talked about in the Investor Day, we've got a new EVP of HR. She's building out our team. We've actually -- we're putting dedicated resources into that organization that's focused on specifically that. We actually are actively recruiting for someone to lead our new product development organization, and we're going bigger in that role in terms of how we're thinking about it and putting resources to work to help us drive the innovation and new product development pipeline. And because there is a cultural shift that has to occur here at Graphic, we are very good operators and very good at controlling costs, and we need to continue to do that in many parts of our business, but there are certain parts of our business where we think we can leverage for growth that you're going to see us allocate some of that savings that we've driven on the SG&A line, push it around into areas that are going to help us drive and accelerate this growth. So that's how we're talking about it in the boardroom, that's how we're managing the company and what you can expect to see us continue to do as we head into 2020.
Anthony Pettinari: Okay. That's very helpful. And I just had a different question on the cost side, specifically fiber cost. As you think about the coming year, there's a number of recycled containerboard machines coming online, maybe driving some demand for OCC. There's some argument that at $25 a ton, maybe some recyclers just stop collecting. How do you think about kind of upside or downside risks to this current OCC price? $25, it's been pretty stable over the last few months? Is this sort of a new normal? Or just how do you think about the recycled fiber outlook going forward?
Michael Doss: I would answer, I'd start to answer off this way. But every time I try to predict what OCC will do, I've been wrong. So that's probably not the best place for me to spend my time. But you can see a plausible argument for many of the things that you just talked about there. The lower for longer is certainly something that we've seen written about. We know that there's probably a fairly good likelihood that China continues to tighten down the amount of material that's imported into their country, which, this year, the United States was over 11 million tons. So that stuff arguably needs to find a home. There are the cash collection costs that you talked about. But there's new capacity coming online that will consume some of that, particularly on the containerboard side of the equation. So we're adopting a -- we're watching those markets very carefully, as you can expect. We buy 1 million tons -- a little over 1 million tons of recycled fiber to run our business, and we'll continue to look to be aggressive in that regard and manage our costs.  So in terms of a point of view, specifically for 2020, we expect there's probably going to be some modest inflation, that's what we're assuming in regards to fiber, and we'll see how that plays out. We'll be able to give you a finer point on that when we talk again in January.
Stephen Scherger: And as you know, Anthony, for us, given it is a commodity and does move, it's really critical for us to just have the pricing mechanisms in place that allow for recovery over a reasonable period of time, which is where we put most of our emphasis there around price recovery, supply/demand. That's, for us, what we can influence and control.
Operator: The next question is from Chip Dillon with Vertical Research.
Clyde Dillon: First question is, I've heard that there's been a very low operating rate in recent weeks in bleached board in the United States. And you did mention your backlog, on the slides, were the lowest among the 3 substrates. I didn't know if there's anything unusual about this, or this just happen to be the timing of the downtime, and maybe your competitors' machine closure, or is there more going on there?
Michael Doss: I think you summarized that actually pretty well. You've got to remember, we were down in the majority of the month of September in Texarkana, so that has a big influence on a monthly operating rate in the month of September, as an example. As you mentioned, one of our competitors is shutting down a mill, so I would imagine that, that played into that a little bit. And from what we understand, others in this space are doing some third quarter maintenance as well. So that probably all factors into what that looks like.  I think if you really want a total picture of how a substrate is performing, you've got to look at the backlog and the operating rates and production year-over-year, which if you take a look at the production year-over-year, SBS is down, I think, 40,000 tons year-to-date, which is a little less than 1%. It probably gives you a good harbinger how it's actually operating.
Clyde Dillon: Got you. And then just my follow-up is, in your guidance for next year, which is effectively unchanged from whatever you -- from the numbers you provided in September, you do have this wide range of free cash flow, or cash flow, as you call it, $75 million, much lighter than, for example, the -- I guess, it is consistent with EBITDA guidance. But is there anything there other than just the EBITDA range that would cause the $75 million difference? Are you looking at working capital could go one way or the other? Or how should we think about that range?
Stephen Scherger: Yes, Chip, it's Steve. The range is, for the most part, the EBITDA range, as we've articulated too, CapEx will be in the $600 million range. Our interest and taxes and pension, we don't expect anything necessarily material there on an operating basis. We still won't be a material U.S. cash taxpayer. So probably the only little bit of governor there is a little bit around working capital, and we'll refine that as we march into the end of the year and into the guide that we'll provide in January where probably you'll see us tighten up that cash flow range, most likely.
Operator: The next question is from Debbie Jones with Deutsche Bank.
Deborah Jones: I wanted to just ask. I might have missed this, but it does seem like your days of mill maintenance in Q4 jumped based on what you had in the Q3 presentation. And then Q3 really didn't change much. I was just wondering what was going on there.
Michael Doss: Yes, thanks for that, Debbie. What we actually did was we added White Pigeon into the Q4 outage schedule. Obviously, we just acquired it here in Q3, so it won't be in there on a year-over-year basis. And Steve and I actually talked about that when we saw your initial writeup this morning. We're actually giving some thought to how we provide a little bit better insight into what those things cost, because as you can appreciate a day of White Pigeon at up 70,000 tons CRB mill isn't' the same as a day at Macon. So we're going to spend a little time thinking how we may be able to do that a little better, going forward.
Deborah Jones: My second question is, you just very briefly touch on ESG investing in the focus on your Investor Day, kind of driving probably some of your customer behavior? But I'm wondering if you look at some of the [indiscernible] Graphic Packaging, if there's anything that you've reviewed or seen that has changed your behavior and the way you operate Graphic?
Michael Doss: Well, there's no doubt, we spent a lot of time talking about it internally, and as I mentioned at the Investor Day, one of the great things for us is, in addition to doing the right things by using less natural resources, these projects tend to come with savings. And I profiled a couple of them. In example, what we're doing in Kalamazoo, we're going to use 300 million gallons less water a year, as an example. We're going to cut down on our greenhouse gases by almost 20%. And we're going to use less fossil fuel, electricity -- generate fossil fuel electricity by almost 20%. So those are all things that as you kind of take a look at our balanced capital allocation approach, over time, we do factor into how do we stack up on the CSG scores and as part of our sustainability report, which at Graphic, we publish every other year and refresh. This year, it will be refreshed. So we're spending time talking about it as a management team and in the Board room.
Operator: Your next question is from Brian Maguire with Goldman Sachs.
Brian Maguire: Just wanted to follow up on George's question on the volume. I wonder if you can help me out by maybe breaking out the 100 basis points of organic volume growth by region, and maybe even by end market within beverages, foodservice. And if you could comment also just on kind of how it broke out between machinery and gardens.
Stephen Scherger: Yes, Brian, it's Steve. I'll give it to you at a little bit of a high level because we don't really typically go into that level. But what we're pleased with is that the targeted areas that we've identified and that we shared with you at the Investor Day and in today's material around global beverage volumes, cups and bowls, that's really where we're seeing the majority of the growth that drove the net organic volume growth. So it's in those categories, so it is SBS-supported cups and bowls, it is CUK-supported beverage. We're pleased with the order rate that we're seeing for machinery on the KeelClip side. That really wasn't a factor in this quarter, because that kind of a to-come and a to-be growth that we've outlined for you, as we look out to 2020 with 100-plus million dollars of growth from those 2 categories. But we're pleased with Europe, continue to see good solid low to high -- actually, mid-single digit volume growth, consistent with what we've shared with you last quarter. But Europe continues to lead the way a bit. But, overall, it's in those 2 -- really those 2 major categories.
Brian Maguire: And then just on the cost side, and the wood fiber cost continue to kind of remain elevated even through the summer. Am I right thinking that's mostly impacting the SBS business? And just wondering if SBS seems like, of all the grades and the one that maybe hasn't got in the margins back to where they were a couple years ago? Is more pricing kind of needed in that market before we get back to prior margin levels?
Michael Doss: Yes, you've got a couple of questions there. Let me cover the wood questions first. You are correct. I mean majority of the input cost inflation we've seen on wood through the first 9 months of this year has been, in fact, hardwood, which is used in both Augusta and Texarkana, as you know. What I'm happy to report is that if you look at where we were at the end of our second quarter relative to the amount of wood we had -- hardwood we had in inventory at those 2 mills, we were pretty down from our targeted levels. And what we were able to do over our Q3 was bill those inventories back, actually, we're above where we targeted historically and at the highest level since Graphic has operated those mills. So we're very pleased going into the rainy season. We've been able to build those inventories back. We have started to see some reduction on hardwood cost here in Q4. But to be fair, we're also heading into the rainier part of the year. But our strategy there was to build those inventories back, and we, in fact, have been able to do that. In regards to pricing and margin, actually dislocation, if you think about price cost spread on SBS, you're correct. Of all 3 grades, that's the one that we're still a little behind the curve on, relative to our recovery of the inflation that we incurred between 2016 and 2018. So we'll actively work to find ways to reduce our input cost, and over time, determine what we need to do. But what we don't do, as you know, Brian, on a call like this is speculate about forward pricing actions.
Operator: Your next question is from Ghansham Panjabi with Baird.
Matthew Krueger: This is actually Matt Krueger sitting in for Ghansham. I just want to touch on some of the business wins that we've talked about. How much of your new business wins would you characterize is coming from new customers versus existing customers? And then, maybe could you provide some added detail on how these contracts are structured in terms of price pass-through mechanisms, take-or-pay clauses and any other kind of nuances that we should kind of know about the new contract push?
Stephen Scherger: Yes, Matt, it's Steve. Just in terms of the existing versus new. Many of the customers are in fact existing customers making decisions to transition into paper-based solutions. So like you saw with AB InBev, with other traditional beverage providers, so a lot of them are existing. But what we are finding, and the cup side of the business is a good example of that, where we're seeing some new customers who may have been in alternative substrates that we may not have a relationship with that are moving into paper-based cups or bowls. So I would say the majority has been existing customers making transitions, but we are seeing a nice fix of some new. The terms and conditions are very common, with those that we were describing earlier from some of the earlier questions. So common terms, common -- typically, two, three year relationships with them, because we are entering into a machinery side, for example, on beverage, those tend to be 2 to 4 year type agreements that come along with the machinery. So I would say, overall, in my time in here, it very consistent with what we're seeing across our customer base relative to the nature of the contractual relationships.
Michael Doss: Yes, the only thing I'd add, I mean, as Steve said, the nature of the contractual relationships we got with our customers have been changed. Our result coming into the year to shorten that lag did, and that's where we placed a lot of our commercial focus in those negotiations. And that's what resulted in our ability to shrink that lag a little bit.
Matthew Krueger: Great, that's helpful. And just to follow-up on volumes a little bit. I guess, just heading into the next year, how would you expect volume growth to flow through the business kind of on a quarter-by-quarter basis? Would you expect volume improvement to kind of reach its run rate by the end of this year and flatten out into next year? Would you expect kind of a ramp higher as you win new businesses and reaching towards the end of next year?
Stephen Scherger: It's a little tough to be that precise, Matt, because, obviously, the folks ramp up as they do. But I think what you're seeing is, with this quarter being 100 basis points, that we've kind of gotten to a place where the confidence around next year's 100 to 200 should be there really throughout the year. And then it's whether it's nuanced slightly less, early and slightly more late, that's plausible. But we really haven't gone through that granular level relative to quarter by quarter. We'll work to do that as we refine next year's plan.
Operator: The next question is from Arun Viswanathan with RBC Capital Markets.
Michael Doss: Probably with the next one, operator.
Operator: So the next question will come from Adam Josephson with KeyBanc.
Adam Josephson: Mike or Steve, one on volume, and then just one on price cost. On the volume, can you just clarify what net organic volume growth is? Just net of what? And then just on the same -- along the same lines, why were backlogs down if volume growth is positive? I would've thought that backlogs and volume growth would move in the same direction. But at least in this case, they didn't?
Stephen Scherger: Adam, it's Steve. I'll take net organic, and Mike will touch on your backlog question. For us, we're very specific in our definition around this. Net organic volume growth is that we are producing an end product that we're selling to our customers and that we can see actual tonnage and, as such, volume growth roll through with excluding acquisition base. And so it's meant to be as defined, net organic volume, it's tonnage and volume-based trackable for us in terms of the actual output, and it's converting products. So it's products that we're making, end products like cups, bowls, folding cartons, and that's important for us as well, given the integrated nature of the business. So we're going to continue to refine and be specific about that definition, but that's -- when we talk about it, it's volume, it's converting and it's actual product out the door that we're producing.
Michael Doss: Adam, just in regards to your question, which is a good one, relative to backlog. We would agree, over time, you would expect, if you see organic growth, the backlog should grow -- or at least production should grow year-on-year. But if you take a step back and think about it for a minute and look at our experience here, we were actually minus 1 on organic growth in Q1, we were flat in Q2 and we are plus 1 here in Q3. So we just inflected on this, then we expect that to continue to be the case here in Q4, and obviously, in the 2020 as we've hung our target out there of 100 to 200 basis points. If you look at actual, the 3 substrates, as I mentioned earlier, SBS production is down 40,000 tons year-on-year, which is a little less than 1%; CRB, coated recycled paper board, is essentially flat year-on-year in terms of production; and CUK, even though you can't see it, at Graphic, is naturally up. And so we are starting to see that kind of come through in terms of volume of the substrates that we're making. But I would expect, as we go through into next year, Q1 in particular, once there's some of the noise relative to our competitor shutdown of one of their mills, that kind of all goes through, as you know, it usually takes 3 or 4 months for that to occur, that, in the Q1, we'll start to see some of that reflected in the backlogs.
Adam Josephson: And just on the price cost issue, I think you've previously said, you expected about a positive 70 for the year, at year-to-date, it's positive 67. So you're basically there already. Can you just remind me what your expectation was and if you think there's going to be considerably more substrates that you'll end up north of the 70?
Stephen Scherger: Yes, it's Steve. Relative to the pricing, pricing momentum is positive, as we said heading into fourth quarter relative to $120 million. We are lapping some of the positive pricing that we had in -- last year in Q4. But overall, high confidence there. As you mentioned, on inflation, year-to-date, we're now just under $40 million. We're still guiding to $50 million. There may be some modest positive there if we have our $8 million of inflation in Q3. So there's some potential for that number to move up modestly, but I'd put it in the context of the -- all within the $1.03 billion that we're guiding to. We're not seeing a movement in that. There's obviously puts and takes among the pieces, but we've started to see, as Mike said earlier, some positive out-of-the-wood side here, finally for -- but we're entering into the rainy season, we'll see if that upholds itself for the remainder of the quarter and into next year.
Operator: The next question is from Daniel Rizzo with Jefferies.
Daniel Rizzo: You mentioned wood and OCC. I was just wondering what your other chemical intermediate costs are doing and what you expect going forward?
Stephen Scherger: Just in terms of currently, Dan, the pretty benign inflation as you would know, on chemicals, energy, logistics cost, that we'll step back a bit relative to the significant inflation that we were enduring. So in the quarter, pretty neutral for us, relative to year-over-year inflation for those major categories. For us, the inflation in the quarter was driven by the wood, as we talked about as well as some of the external paper that we buy. We haven't provided forward thinking yet with regards to those cost, which we'll do in January.
Daniel Rizzo: And then you mentioned -- I mean, and you talked a lot about the shift, sustainability initiative shifting to paper from plastic. But is there a specific like end product to specific area where that's happening more than others? Is there something that's leading the way?
Michael Doss: I'd just point back, Dan, to the some of the pictures we included and the graphics we included in our Investor Day material, I mean, and Steve talked about this earlier too. I mean it's really conversions out of foam, both cups and containers and paperboard solutions, conversions out of Hi-Cone rings in the beverage side of the business into our KeelClip, as an example. Conversions out of CPET trays into our paperboard -- press paperboard trays. Those are the areas where we're spending time and our focus, because we have good intellectual property that allows us to protect those sales, and they tend to be margin accretive to our overall profile. So that's why we're spending time in those areas. And demand from consumers and customers has been high.
Operator: The next question is from Mark Weintraub with Seaport Global.
Mark Weintraub: Maybe just, first, quickly following up on Matt. I did notice that Carlsbad in Denmark's exploring paperboard packaging for their beer. Are you actually seeing interest from either glass or cans to go paperboard?
Michael Doss: Mark, we saw that too. I mean, I think what you're referencing is they're doing like a paperboard bottle. We're obviously -- we'll watch that, but that's not something we're actively participating in right now.
Mark Weintraub: Okay. And maybe just circling around some of the ingredients of the full year EBITDA. It does seem that pricing is playing out perhaps as well or better than what was embedded in that guidance. And I guess, on the flip side, it looked like performance and synergies, it would be a stretch to get to the number provided in the -- during the Investor Day. Am I reading that right? Or were there any surprises in the third quarter? It sounded like you had suggested not, but just wanted to kind of get a better take on some of these moving variables.
Stephen Scherger: Mark, it's Steve. Overall, like I said, the overall $1.03 billion is intact for the full year. You're correct, there's probably a little bit of some of the momentum on price cost. But overall, we were very pleased with the third quarter. We had about -- the Texarkana impact was about a negative $25 million for the quarter, and as such, the kind of minus $20 million that you saw was more of a plus $5 million. And if you go underneath that, as we've mentioned before, between pension and incentives, there's about a $10 million headwind. So actual kind of core productivity was around $15 million, so that met our expectations for the quarter. And so the quarter, there were no major surprises.
Mark Weintraub: And I guess, I'm just trying to understand if, given the price cost maybe worked out little bit more favorably, if some of the variables that are going to keep the number where it is as expected for this year but are more easily recoverable into next year, so that you might actually have a bit of wind at your back for next year given the way the dynamics are playing out this year. Is that a fair assessment?
Michael Doss: I think, to the degree it's within the range that we provided you, Mark, that $1,040 billion to $1,100 million, that's pretty wide range, to be fair, but it's also early in Q4, and a lot can happen between now and the next time we talk to you at the end of January. So we'll be in a position to put a finer point on all of that as we finish the year here. We've got confidence in the $1,030 million that we've outlined here. I think Steve did a good job of articulating the puts and takes there, and that's how we'd ask you to think about it.
Operator: The next question is a follow-up from George Staphos with Bank of America.
George Staphos: Two quick ones. First of all, with continued focus on shipping on container and SIOC by e-tailers and related, are you seeing any kind of increased demand for CUK as a corrugated replacement? Or are you seeing, actually, the reverse that you're seeing some of your primary packaging and boxboard being -- losing share to things like corrugated or other materials. How is that playing out? And then I have a quick follow-on.
Michael Doss: I think, our net-net on the margin, we view that as a slight positive for us. As we talked about at our Investor Day, there are certain categories like pet food and others, where heavy caliper SUS, as an example, can and is participating in the SIOC movement as you've described. But we're -- we actually see the sustainability side of that as a bigger leveraging item for us, and that's where we're spending more of our resources. We are participating with some of the e-retailers and being part of their process to make sure we understand what they need and how we can participate. But I'd focus here a little bit more, we're going to spend our time on that the sustainability side of the equation, George.
George Staphos: Mike, realizing it might be two sides of the same coin. Is it more resources? Do you have to have people to push these different initiatives? Or is it -- you think the size of the pie, so to speak, is bigger in terms of sustainability as opposed to SIOC? Is it just -- it's probably both, but just a function of the fact that you have enough resource to push the other SIOC as a bigger opportunity for you?
Michael Doss: Well, I think the way I'd ask you to think about it is, we just think the price is bigger on the sustainability side of the equation. We've done a nice job of identifying what products we're going after there and why.
George Staphos: Okay. And I have one question related to your guidance for cash flow for next year. And I recognize it's so early, you'll put more as a finer point on this in the fourth quarter, and you may have already mentioned this at the Analyst Day, I forgot what the commentary was. But given the starting point of free cash flow this year, the $525 million, given the ramp in CapEx, which you've called out relative to Kalamazoo. You said the other line items, more or less, would stay the same. So working capital is perhaps a flux. Do you need to start building some inventory ahead of what will ultimately be line outages as you transition to Kalamazoo? Or you're not really doing that yet because Kalamazoo doesn't come up until the first quarter of '22. And if so, what else do I need to do to bridge from $525 million to -- at maximum, given the way you're putting it, $275 million, CapEx is only a $250 million decrement?
Michael Doss: So I want to comment on your question regarding inventories, and let Steve comment on the free cash flow implications to that. In 2020, there would really be no impact on overall inventories related to the Kalamazoo ramp up. As we get towards 2021, the end of 2021, we'll be looking at, okay, how do we rent that machine up. And as we outlined during the Investor Day, we expect it to be a pretty vertical ramp-up. And again, we're going to continue to operate the mills that we're planning to close once we had that machine running. And so we'll do qualifications, and while we're doing qualifications, we'll continue to run the other machines. Once that material has been fully qualified, then we look to ramp those down. So I would not have you think if maybe large inventory build or large grain on working capital as a result. That will be modest, and it'll be in early 2022.
Stephen Scherger: Yes, George, just in terms of obviously, like I said earlier, we'll tighten up the range on cash flow and provide more details in January. But there may be a modest use of working capital driven by our growth agenda. So there may be some working capital coming from growth in the business, the 100 to 200 basis points we've guided to modest working capital use as opposed to this year, where we've got some net working capital positive.
Operator: The next question is a follow-up with Chip Dillon of Vertical Research.
Clyde Dillon: Yes. Just had a question about OCC. It's obviously just accepted that China is going to continue to reduce their purchases, and yet, we know, given the size of their economy, they have to get the fiber somewhere and they don't have it in their country, whether it's inboard or recycled pulp. We've also noticed that one at one of the biggest -- the biggest player there has postponed some recycled pulp projects here in the States. My question is, what's the real issue with pollution as you all see it? Do you all, in your processing of 1 million tons of OCC, have a lot of problems or challenges landfilling or otherwise dealing with the -- whatever is leftover when you process OCC?
Michael Doss: Well, let me talk about the 1 million tons that we actually processed, because that's what I can actually speak to. And what I would characterize those markets is, obviously, they're very favorable for us right now. We're able to get the tonnage that we need when we need it. We're actually able to get cleaner tonnage than we were getting even a year-or-so ago because of the situation you just described. Having said that, our new machine will actually have the most modern up-to-date cleaning equipment that's commercially available, because we want to have the flexibility to obviously use low-cost fiber going forward, and you would think that positions us well for the future. The modern machine that we're putting in, as I've outlined earlier, is going to have an excellent footprint from a carbon standpoint that I just talked about. So I won't go through that again. But I guess, beyond that, Chip, I don't really have a point of view on the impact in China in regards to that. You'd be in a better position than I would be to probably answer that.
Clyde Dillon: My question really had to do with, what are the challenges in dealing with what's leftover? So you process OCC. And issue the Chinese have mentioned, at least in their statements, is that they want to reduce landfill and other pollution. And I know that Europe, which is a very environmentally conscious area, in general, and I know this industry is certainly move -- has moved a lot in that direction. Is there really a challenge to dealing with the sludge or whatever is leftover from processing OCC?
Michael Doss: Yes. I think, when markets are really high, the amount of contaminants that you get away with and the material is obviously much more. When markets are reduced and people are being more picky. They're able to kind of parse through that and find, as I mentioned, in our case, cleaner material at lower prices. And so what I think people who process that stuff will have to do over time is take a look at the arbitrage on the cost to getting cleaner versus what they're able to sell it for. So there'll be a natural economic-type driven equation there. And what we're trying to do, Chip, is be in a position to always be able to take lower-quality material and produce higher-quality product, and that's why we're investing in the most modern and up-to-date cleaning systems on that machines. And that's what we're doing about it.
Operator: The final question is from Mark Wilde with Bank of Montréal.
Mark Wilde: Yes, Mike, just back on this waste paper issue. I'm just curious with the expansion at Kalamazoo, I mean, you're going to be using a lot and lot of wastes in that one site. Any advantage to you in maybe trying to set up some long-term supply agreements right now with kind of municipalities that might be struggling at the moment to kind of not figure out what they do with their recyclables?
Michael Doss: Yes. It's a great point, Mark. And we are actually -- we have some of those already in that region of the country, and we'll look to continue to scale those. One thing, as we mentioned at the Investor Day, that was positive for us and why we selected Kalamazoo, is if you look at the 2 mills that will shut down there in that fiber basket, if you will, so we're not pressuring that fiber basket anymore. What we want to be able to do is be kind of the go-to spot for where that material goes, and we're going to have the ability to quickly turn those loads and really take advantage of that. So that infrastructure, I think, will bode well for us over time, and we'll seek ways in on long-term contracts as we're going to pull, to your point, close to 900,000 tons in that facility to be able to take advantage of our size and scale.
Mark Wilde: Okay. And just one more point on that. I mean, with a lot of mills going into that part of the country, they're using lot of mixed waste. And with the printing and writing paper volumes falling off pretty significantly, is that a concern at all if we think about the long-term?
Michael Doss: You know, we always watch that stuff pretty carefully. And if you take a look on the SBS side, to your point, we've seen a new entrant come into this space. So there is competition that makes decisions and does those types of things. Having said that, the integration rates if CRB are quite high. In our case, as you know, we're approaching 90% on CRB. And so that's why it's such an important strategy for us to continue to drive our integration levels up, over time, and you'll see us do that both organically and inorganically, as we've done this year.
Operator: At this time, I would like to turn the conference back over to Mike Doss for any closing comments.
Michael Doss: Thank you for joining us on our earnings call. We look forward to speaking with you again in January. Have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference call. You may now disconnect.